Operator: Good day and welcome to the Mitek Second Quarter Fiscal 2018 Financial Results Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Mr. Todd Kehrli, with the MKR Group. Please go ahead, sir.
Todd Kehrli: Thank you, operator. Good afternoon and welcome to Mitek's fiscal 2018 second quarter earnings conference call. With me on today's call are Mitek's Chairman and CEO, Jim DeBello; and CFO, Jeff Davison. Before I turn the call over to Jim and Jeff, I'd like to cover a few quick items. This afternoon, Mitek issued a press release announcing its second quarter fiscal 2018 financial results. That release is available on the company's website at miteksystems.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of the company's website. I’d like to remind everyone that on today's call, management will discuss certain factors that are likely to influence the business going forward. Any factors discussed today that are not historical facts, particularly comments regarding our long-term prospects and market opportunities, should be considered forward-looking statements. These forward-looking statements may include comments about the company's plans and expectations of future performance. Forward-looking statements are subject to a number of risks and uncertainties, which could cause actual results to differ materially. We encourage all of our listeners to review our SEC filings, including our most recent 10-K and 10-Q for a more complete description of these risks. Our statements on this call are made as of today, May 1, 2018, and the company undertakes no obligation to revise or update publicly any of the forward-looking statements contained herein, whether as a result of new information, future events, changes in expectations or otherwise. Additionally, throughout this call, we will be discussing certain non-GAAP financial measures. Today's earnings release and the related current report on Form 8-K describe the differences between our non-GAAP and GAAP reporting and present the reconciliation between the two for the periods reported in the release. With that said, I’ll now turn the call over to Mitek's CEO, Jim DeBello.
Jim DeBello: Well, thanks, Todd and good afternoon, everyone. Thanks for joining us today. I’m happy to report today that Mitek achieved record total revenue in our fiscal second quarter of $14.3 million, an increase of 25% year-over-year. This growth reflects the continued market momentum we’ve been building over the past two years for Mitek’s identity verification solutions. At the same time, we’ve achieved our 17th consecutive quarter of profitability with non-GAAP net income of $2.1 million or $0.06 per diluted share. During the quarter, our ID SaaS transactions grew 80%. Our ID SaaS revenue grew 91%. And our overall ID business grew 109%. We secured many new enterprise customers for the mobile verified while achieving our 2 billion mobile deposit, all of which I’ll talk about later in more detail. As a result of our strong financial performance halfway through this fiscal year, we’re pleased to be increasing our guidance for the full fiscal year, and Jeff will provide more detail later in the call. Today, there is a rapid erosion of trust in the digital world. Trust is no longer a nice to have, but a must to have and Mitek’s identity verification solutions are helping companies that are making trust a business priority. And here’s what’s new. The national narrative has definitely turned in our favor during the past 90 days. Facebook is now requiring ID verification and CEO Mark Zuckerberg's appearance before Congress strengthened this narrative. Uber’s CEO appeared on NBC's Today Show and supports identity verification in ongoing monitoring. Twitter and others claim to welcome regulation. Privacy and identity do matter. Just ask Apple’s CEO Tim Cook. Apple says, it’s a human right in their recent iOS update. To ensure transparency, Facebook will begin to require the admins of popular Facebook pages and advertisers buying political or issue ads to verify their identity and location. We’re glad to see that Facebook and Twitter are endorsing the Honest Ads Act to bring more transparency to social networks. However, there’s a lot more to be done. We believe companies that make identity and trust their cornerstone of how they engage with their customers are going to be the ones that will thrive not just survive. One of the opportunities before us is to leverage this national narrative and take advantage of this amazing shift. The issue of trust has broken through as one of the top concerns for leaders across every major industry. Nowhere was this more clear then at the KNOW Identity Conference in Washington D.C., spelled K.N.O.W. Rattled by the latest round of high-profile breaches of customer data, the executives from industries as far ranging as financial services to travel and telecommunications attended the conference in greater numbers than ever before. Clearly, this is because we’ve reached a tipping point. Simply put, trust is the new currency of the digital age. What’s more, the industry leaders we heard from understand that the foundation of trust is identity verification and despite all the other advances we’ve seen in the modern era, identity document verification is still the best path. Basically, these leaders ask, how can we avoid being next. Data breaches undermine the entire foundation of the digital economy. It’s not a stretch to say that without trust there can be no digital economy. The keynote speaker at the KNOW Identity Conference, Airbnb's Global Head of Trust and Safety understands this better than most. Their entire business is based on the users trusting each other enough to share homes without ever having met. For Airbnb’s business model to work, trust in the real world has to start with trust in the digital realm as users find each other and connect online. As the keynote speaker pointed out, the security of the company's transactions and the physical safety of the company's users depend on it. That makes identity verification the key to Airbnb’s success. But it is also vital to the success of any company that does business online, which today means just about everyone. In order to ensure safe and secure transaction takes place, companies need to be able to trust that people logging into their networks are legitimate to users. A common method of online identity verification that you are all familiar with is knowledge-based authentication. But this method is frocked with risk. Users answer a set of personal questions to which, presumably only they know the answers. Verification depends on comparing the users answers to a database of correct answers and that’s where the problem begins. As the onslaught of data breaches continues, these databases get hacked. Companies and consumers relying on knowledge-based answers for identity verification are increasingly vulnerable. The solution to this problem as it has been in the physical world is the use of physical documents issued by a trusted authority. That means government IDs. Because they're issued by recognized authorities, government-issued identity documents, such as driver licenses and passports are still the strongest source of identity verification online or off. It is now a mainstream view accepted by a great many of those attending the conference that government document ID verification represents the gold standard for establishing trust. The question is, how do we transfer the best possible form of identity verification meaning government IDs from the physical into the digital world. Scanning physical documents quickly and easily is not a trivial challenge. Fortunately, Mitek’s Mobile Verify can get the job done by running advanced authenticity checks to verify documents. We find the fakes. Additional urgency comes in another form. Stringent regulations with big penalties for non-compliance. Sweeping new data security rigs are coming. It's a veritable alphabet suit: PSD2, GDPR, AMLD5 and more, leading to a scramble for compliance before they go to effect. However, along with the challenge of increased regulations comes a big opportunity. And CTOs and other corporate leaders at the conference spoke about how regulations might actually benefit the companies, and that’s because while regulation may increase compliance obligations. It is also going to help protect companies against loosing that most important asset of all, the trust of their customers. Viewed in this light, increased regulations can actually be seen as an endorsement of the digital economy with the potential to strengthen it overall, Mitek is well positioned to benefit from these changes. Physical documents such as driver licenses will continue to be the cornerstone of identity verification. In other words, today and for several years to come, nothing can beat government issued documents for establishing trust for digital transactions. We believe that Mitek’s ID solutions bridge the gap between the physical and digital worlds for identity verification and are what’s needed right now to keep the digital humming into the next decade. For Mitek, the national narrative around the need for trust in the digital world plays in our favor. As our solutions provide a proven friendly experience and combine what you have meaning a physical ID with who you are meaning of facial comparison to your ID photo through a selfie. Just as we did with mobile deposit, Mitek has transformed a physical process of identity verification that has worked for decades into an easy, efficient, and secure digital experience. So, how do we do this? Our identity verification cloud platform is continuously learning from the millions of authentic ID documentation we process and the fakes that we find. We can quickly add and update new document types from around the globe, which further trains our AI platform and provides global identity coverage to our customers. We believe that our advanced forgery detection algorithms coupled with our knowledge repository of fake ID images from around the world, gives us one of the most accurate and comprehensive ID proofing products for the digital channel and sets us apart from our competition. We find the fakes. As part of our plan to foster global identity coverage, we acquired a terrific company in Barcelona last October named ICAR. They are performing extremely well and broaden our geographic coverage beyond North America and Europe into Latin America. ICAR’s computer vision scientists are dedicated to ongoing research and development and by merging them with our Mitek labs, we believe we now have one of the most powerful research and development teams in the digital identity verification industry. We continue to seek other opportunities for growth through acquisition and intend to use our strong balance sheet to grow both organically and through M&A. Now let me highlight a couple of our new and existing identity customers and the progress we made with them this quarter. One notable new customer we added is a large global provider of insurance for smart phones, tablets, and other consumer electronics. This company operates in 18 countries and has 60 offices with 25,000 employees serving 320 million consumers. They provide insurance against loss or damage for new mobile devices purchased from any of the major carriers. Previously, to insure against fraud during enrolment, each new customer application was reviewed and identity verified manually during the on boarding process, which is expensive and time-consuming. And after a competitive bake-off, this company chose to deploy Mitek’s mobile verified solution to automate their on-boarding process and make it faster, less expensive, and more accurate. The new on-boarding used case continues to be a big opportunity for our identity solution and is applicable across several large verticals, including financial services, lending, payments, travel, Telco, and shared economy companies. In addition, we continue to see new used cases in other industries for enrolment and compliance. In fact, during the second quarter, we went live with a leading European crypto currency provider BTC Direct. This new customer is using Mitek for the digital on-boarding of new customers. Following a wave of interest in crypto currencies, BTC has experienced a rapid growth with up to 3,000 on-boarding requests a day. To accommodate this surge in demand and meet increasingly stringent regulations, Mitek’s identity verification solution is being used on-board to those customers much more quickly. Regulators have recently been keen to crack down on anonymity in crypto currency platforms, which may benefit Mitek. Many crypto currency providers are making it a priority to implement KYC processes that are compliant and scalable to keep up with the surge of customer signups. This customer opted for Mitek Solution because of its strong product roadmap and after seeing great results in the testing period. Another customer ABN AMRO, just last week, launched their new mobile app with Mitek embedded. ABN AMRO, is one of the top 100 banks in the world. As part of the mobile app, Mitek will help them convert prospects into customers allowing them to expand their presence throughout Europe. On top of our growth from our direct sales efforts, we continue to see new ID wins from our channel partnerships by reselling and integrating our identity verification technologies with partners like Experian, VASCO and others. We’re also accelerating the expansion of our identity solutions into key vertical markets. One example of that is a new customer secured through our partner experience in Europe. This customer, a Tier 1 mobile operator with 103 million customers worldwide is revamping their retail experience. Soon, every consumer entering their stores will have their ID scanned into this provider system by a customer representative using an iPad. This will become part of their shopping experience to streamline service and credit purchases. Our partnership with Experian continues to also grow here in the United States. In fact, last week we demonstrated our identity solution to over 900 Experian salespeople during their U.S. sales kickoff event. And just last month, VASCO, a global leader in security and business productivity demonstrated a solution for mobile on-boarding at the RSA Conference that featured Mitek’s identity solution. Using VASCO’s e-sign line product, in conjunction with Mitek's identity verification solution banks, lenders, and other financial institutions can leverage ID document verification and ease signatures to deliver a complete mobile on-boarding process for new customers. Using our solution, VASCO can now offer its more than 10,000 customers in 100 countries, a secure compliant and frictionless mobile on-boarding process without the need for a branch or in-person ID verification. All of these customers and channel partners highlight the fact that enterprises around the globe are seeking solutions to enhance identity verification. We believe Mitek is well-positioned to address the need for a digital trust solution in the multibillion dollar digital identity verification market. In addition to our growth and innovation in identity, we continue to dominate the mobile check deposit market. More than 80 million consumers use our mobile deposit solution because they love the convenience of the mobile channel offered by more than 6,100 financial institutions in North America. Last month, we announced that our mobile deposit solution has processed more than 2 billion check deposits, totaling approximately $1.5 trillion in cumulative check value. We assume the rumors of the checks that are highly exaggerated, with over 17 billion checks still written in the U.S. annually according to the Fed. Adoption and usage of mobile deposit continues to grow year-over-year. The key growth drivers are consumer penetration and frequency of use. With financial institutions focused on driving their customers to use the lower-cost digital channel and consumers enjoying the unparalleled ease of use, we expect continued growth in mobile deposit this fiscal year and for years to come. The strength of our growing and profitable mobile deposit business continues to be a solid springboard for the burgeoning ID verification market. And as I think about this, what we had to do to become a trusted mobile deposit partner with the 6,100 banks not only required us to develop the best technology in the world, but it also required us to invest in the unnecessary IT personnel, systems, Sarbanes-Oxley processes, security audits, ISO and SAQ certifications and controls to meet the stringent needs of the Globe's top banks and financial institutions, as well as complying with all of the responsibilities associated with being a NASDAQ listed company. I’m confident that this is also what sets Mitek’s identity solutions apart in the eyes of perspective enterprise customers from small private or in some cases financially challenged competitors. We’ve worked hard to become the trusted provider for mobile deposit and are well-positioned to leverage this advantage as a leading provider of ID verification solutions. The rapid erosion of trust in the digital world and the need to rebuild that trust is presenting a greater opportunity for Mitek than ever before. Mitek’s identity solutions squarely address this pain point and enable digital commerce. Our earnings results only confirm what we continue to hear in our channel and with conversations with buyers. Demand is strong and more dollars continue to be allocated to digital transformation initiatives. So, in conclusion, our record revenue, our 17th consecutive quarter of profitability reflect successful execution of our growth plan for both our identity verification and payment solutions. Mitek is enabling digital trust and building continued market momentum with mobile verify and this momentum combined with our mobile growing mobile deposit business positions us well for future growth. And now with that, I like to turn the call over to Jeff to discuss the financial results in more detail.
Jeff Davison: Thanks Jim and thank you everyone for joining us this afternoon. Let’s start with the Q2 revenue and operating results. For the second quarter of fiscal 2018, Mitek generated record revenue of $14.3 million, a 25% increase year-over-year. Software and hardware revenue of $8.8 million was up 13% year-over-year. We maintained strong software and hardware gross margins at 94% for the quarter. Services revenue, which include SaaS, maintenance and consulting was $5.5 million for the quarter, an increase of 52% over last year's Q2 revenue of $3.6 million. The increase in services revenue is due primarily to growth in transactional SaaS revenues from our mobile identity products, which increased 91% to $3.3 million from $1.7 million in Q2 a year ago. Services gross margin were 78% for the quarter, compared to 81% in Q2 2017. The services gross margins were impacted by an increase in headcount and third party and hosting costs. Q2 revenue from ID products increased 109% and revenue for the payments business was flat as anticipated. The revenue overperformance for the quarter was due to strength in the ID transactions from our SaaS customers and favorable ID on premise renewals. Total operating expenses, including cost of revenue were $15.5 million, compared to $10.2 million in Q2 last year. The year-over-year increase in operating expense reflects our continued investments to grow our identity business, as well as the additional ICAR operating and acquisition related costs. Sales and marketing expenses for the quarter were $5.3 million, compared to $3.7 million a year ago. R&D expenses were $3.5 million, compared to 2.4 million last year and our G&A expenses were $3.8 million compared to $2.7 million a year ago. As a reminder, our earnings release includes a reconciliation between GAAP and non-GAAP net income. We believe non-GAAP net income provides a useful measure of the company's operating results by excluding acquisition-related costs and expenses, stock comp expense, and litigation costs related to protecting our intellectual property. GAAP net loss for the second quarter was $1.2 million or $0.03 per share. Non-GAAP net income was $2.1 million or $0.06 per diluted share, representing our 17th consecutive quarter of non-GAAP net income. In Q2, we incurred $1.2 million of acquisition-related costs and expenses, compared to 518,000 last year. These costs are made up of approximately 650,000 of intangible amortization expense and approximately 500,000 of earn-out related charges recorded during the second quarter. Stock comp expense was 2.1 million, compared to 1.2 million a year ago. Our diluted share count was 36.7 million shares, compared to 34.8 million shares a year ago. Turning to the balance sheet. During the quarter, we generated 1 million in cash flow from operations during the year bringing our total cash and investments to $45.3 million at the end of Q2. Our accounts receivable balance of $7.8 million represented a DSO of 42 days. Now moving to guidance. We are increasing our previously provided guidance for annual revenue of between 57 million and 59 million to the new range of between 59 million and 60 million for our fiscal year ending September 30, 2018. This would represent revenue growth between 30% and 32% year-over-year. We expect the payments business to grow between 15% to 20% and the ID business to grow 65% to 70% for the full-year. As we continue to see strong market demand for our digital identity verification solutions, we will continue to invest in this growth opportunity this year and for the foreseeable future. We also continue to expect to generate healthy non-GAAP profit margin of between 19% and 20% for the full fiscal year 2018. For the third quarter, we expect total revenue to be in the range of $14.5 million to $15 million, representing 23% to 27% growth year-over-year. We expect total operating expenses for Q3 2018, excluding acquisition-related costs and stock comp expenses to be between 12 million and 12.5 million. Our investments to grow the identity business were made in the first half of the year and the growth rate of these expenses are expected to slow in the second half of the fiscal year. We expect acquisition-related costs and expenses to be between 600,000 and 700,000 and stock comp expense to be between 2.2 million and 2.3 million for Q3. Operator, that concludes our prepared remarks. Please open the line for questions.
Operator: Thank you, sir. [Operator Instructions] We will take our first question from Bhavan Suri with William Blair. Please go ahead. Mr. Suri, your line is open. Please check your mute button.
Arjun Bhatia: Hi guys, sorry. This is Arjun Bhatia in for Bhavan. Just wondering if you guys can provide an update on the sales and marketing investments that you have made in the first half of the year, growth clearly seems to be coming in strong, but can you provide any qualitative feedback on how the sales team has, it ramped in the ID market and how their success is tracking versus internal expectation?
Jeff Davison: Sure. I’ll answer that. This is Jeff. We have increased headcount in sales and marketing. I think entering the year, we were probably between 30 people to 40 people in that group and we are well over 50, I think we are actually above 60 in the sales and marketing team now. So, definitely headcount investment is there. The reason we are making the investments is we are seeing a lot of opportunity, lead flow, and building pipeline. So, we’re pleased with the results we are seeing from the investment we’re making in sales and marketing. And like you said, it is focused on headcount.
Jim DeBello: And there is two additional items I think to augment what Jeff has said. On the indirect channel sales, we are also engaging more actively now with our channel partners. I mentioned Experian and VASCO among others. And then the last thing per my comments earlier is this national narrative that has changed, which is providing impetus for more activity and more exploration and more deal as it relates to identification verification. So, I believe our timing is good and our investment is paying off.
Arjun Bhatia: Alright. That’s helpful. And on deposit side of things you know we’ve talked about in the past how it’s much more cost-effective to do the mobile deposit versus in-person deposits. In that light, can you talk a little bit about how you look at pricing power here going forward, is there any possibility of increasing pricing for these services in the future?
Jim DeBello: In regard to what product please?
Arjun Bhatia: Any deposit products.
Jim DeBello: Great. Yes. Mobile deposit has been in market now for eight years and it continues to dominate its space and again all of the growth is coming from additional consumers and frequency of use. We’ve actually have seen indications from studies independent from Mitek that check volumes are holding steady or their decline is reduced. So, we are encouraged by the opportunity and growth of our prospects ahead of us. We continue to innovate in the product. We’re on our 30th release and have added features that have helped us maintain our current ASP in market. We believe that we have outdistanced any competition. In fact, we’ve faced very little competition. So, the natural assumption is that we have pricing power. However, we work through channel partners and in an industry that has established a fair market value for their service we are working hard to sustain that. There is always going to be price pressure and the way we counter act that to sustain our ASP is to continue innovation. We’ve mentioned in the call’s past, new transactions that we are conducting with people like the American Cancer Society, the American Heart Association trying to get money into their accounts sooner from donors. And we see lots of other opportunities like this. So, we believe we are able to stabilize and sustain our price points. We did not anticipate increasing those prices, but we anticipate growth through activity of transactions and other used cases.
Arjun Bhatia: Got it. It’s very helpful. That’s all from me, thanks for the call guys.
Jim DeBello: Thank you.
Operator: We will take our next question from Darren Aftahi with ROTH Capital. Please go ahead.
Darren Aftahi: Hi guys thanks for taking my questions, and congrats on the quarter. Just a few if I may. Your ID business was small, it has been kind of around for a little while now. So, I'm curious if you guys look at cohorts of newer customers sort of way back when and how fast those are growing after say 12-month or 18-month period? And then as a derivative of that question, I am kind of curious of your transaction make-up, how does that skew to may be the top two or three verticals? And I’ve got a follow-up.
Jeff Davison: So, on the ID business, the transactions and the customers, I will go to transactions first. We definitely have some customers that are higher on the transactions, but I wouldn't say the transaction make-up on the ID side is like a 80% and a handful of customers, it’s spread pretty well. What we do see is customers will launch and as we’ve talked before they launch with pilots or proof of concept and then it develops, and the customers who have been with us longer they obviously have the higher level of transactions going through their systems, and I think that probably has to do with our technologies embedded in their apps and their apps develop over time as the mobile experience develops over time.
Jim DeBello: And Darren to augment Jeff's comments, this market is new. You made an earlier comment that this market has been around for a while. I would challenge you on that one. This has up to this point been an exploratory market as workflows have changed and as old systems like knowledge-based authentication have been corrupted through this onslaught of data breaches. So, this problem is relatively new and companies are scrambling. Fortunately, the companies that we have signed earlier, a large payments processor here in the United States that has global operations, their transaction volumes are growing because they are now incorporating the workflow, more broadly, and there is some more familiarity among consumers to image their ID as a means to protect themselves overcoming some consumer habits from the past. So, I think this is very early stage market, and we're seeing success with our primary customers growing in their volumes on their pay-go models and now we’re evolving into a broader set of verticals as we see demand increasing broadly, perhaps due to some of this national narrative that we’ve been reading about and seeing on TV most recently. ID proofing, which if you recall a year ago, you and others would ask what are the used cases, it’s now very evident as a key element in terms of protecting the trust, rebuilding that and protecting the consumer elements that these customers companies have. So, we’re quite encouraged really, but we are seeing out there right now. We think we are in a very good competitive situation and our technology is performing well. So, all these things add I think the momentum.
Darren Aftahi: Great and just following up on some of the comments you made on y our customer wins both channel and direct. So, on the large insurance provider for CE devices and the mobile operator in Europe, I guess one, what is the mix of new customers sort of indirect versus direct? And then on your large insurance win, I'm curious, how competitive of a process is that and other than kind of the usual suspects are there any other kind of verticals or players you want to think about that are kind of competing in the space? Thanks.
Jeff Davison: Let me speak to the distribution channel and its mix. We are seeing the bulk of our our new customer acquisition coming through our direct sales efforts today, but a growing percentage coming through channel partners as we enable them. A major element of our marketing investment is channel enablement. We have personnel focused on that to engage with customers like Experian and channel partners and VASCO to not only work with their sales people to educate them on our selling processes, but furthermore to assist their technical people to embed our technology and their solutions. We are an embedded element and experience featured crosscourt platform. This is their new platform, which allows their customers to utilize a variety of tools to verify identities not just data, which were as used in the past, and as I explained data alone is an adequate. So, we are a critical element of their go-to-market strategy in part of the technology has integrated into their core platform. We’ve now educated their sales force and we will do joint sales calls as we have in Europe. Experian you may now is a London-based Global Corporation. So, we are actually making tremendous progress in channel, but as with mobile deposit, the same will be for mobile verify, it takes time to get channel partners informed and executing. So, that’s why we have relied up to this point on investment and we will continue on our direct sales efforts. So, I think that speaks to the question of channel distribution and how it relates to our direct efforts. With regards to the used cases, Darren what I would encourage everyone to think about are two primary used cases. On boarding new customers, meaning as they and roll digitally being able to authenticate and identify and verify themselves is a key element that streamlines the process and often through enrolment and on boarding people abandon the process because it is too cumbersome, there is too many questions, so they make errors. And by virtue of a sample MiSnap [ph] of their ID they are able to pre-fill a form, verify the authenticity of that document and the individual through a facial recognition in comparison to the photo ID and streamline that process. So, on boarding is a very critical element of this large Tier 1 mobile operator that I mentioned and of as with this large crypto currency customer I mentioned. The second piece is a compliance part. As these new rules and regulations, in fact on May 25 GDPR goes into effect in Europe. There are significant penalties for noncomplying companies who deal in data and particularly private information. And we help protect that and we help protect the consumer. So, we believe that we have a good position in the marketplace vis-a-vis our smaller competitors that we see out there and we believe who have again not just our technology advantage, but our corporate advantage and that we're a trusted provider as well. So, we like where we are at. We like the space and we like where the industry is headed.
Darren Aftahi: All right thank you.
Operator: We will take our next question from Mike Grondahl with Northland Securities. Please go ahead.
Mike Grondahl: Yes, thanks guys. Jeff, could you repeat what you said about what drove the outperformance in the quarter kind of above your roughly 13.5 million guide?
Jeff Davison: Sure. The overall performance was due to strong performance on our SaaS transactions for our ID business and favorable renewables for some ID on premise customers.
Mike Grondahl: Can you just define that, what does that mean to favorable renewals, sort of like the license got renewed?
Jeff Davison: Yes, yes sure. So, obviously I had visibility to renewals that are coming up and these renewals that came in were favorable to what I had forecasted that we were going to get on them. And that is a good portion of our over performance along with the SaaS transactions.
Mike Grondahl: Got it. And then secondly, you guys called out that you are over 60 salespeople today from roughly 30 to 40 six months ago. How does the sales – how long does it take to get one of those salespeople kind of up and going? And then what is the quarter or the goal for them, you know at the end of year one or year two?
Jeff Davison: So, just to be clear, the numbers I gave you are sales and marketing organization. So, I don't want you to think we have any selling sales reps. They are a portion of that, but there is also support in all those orgs. You know the ramp time for sales reps is like most companies, it is 3 months to 6 months before they are actually up and running productive. And then they have to build pipeline as well. So, for us this past year, we were hiring earlier in the year. We have seen some of them get up and running and actually starting to produce already. We think they will continue to see that through the end of this year and then as we move into next year we will invest in more sales reps as we forecast 29 team to show growth. So, I think hopefully that answers your question?
Mike Grondahl: Yes, it does. And in the mobile deposit side, do you still have sort of a pristine retention rate of the banks, I mean is that roughly still 100%?
Jim DeBello: Absolutely.
Mike Grondahl: Got it. And then just moving to mobile ID, it was helpful to your couple more customer wins and a couple that went live, is there anything you can say may be about the range of prices that you are getting for a transaction, and I don't want to ask about any one customer, but of some of the ones you won, can you just give us a range of sort of what you are charging, if you are verifying an ID in some of these?
Jim DeBello: Mike, this is Jim. Listen, we have never disclosed our prices as we actually do our contracts. We’ve discovered [indiscernible] as these individual enterprises enter into their used cases, we are able to sustain what we have talked about generally in the past. So, our pricing policies have been supported by the market. And we don't see that as an impediment. This is actually a very critical element as you can imagine in the workflow. The cost of the customer acquisition is upwards of $200 to $300 in the bank and that is a documented figure to add another dollar or two or whatever the case may end up being is in significant amount to retain or to obtain a new customer. So, we like the pricing. It is significantly different than mobile deposit as we add a tremendous amount of value in new customer acquisition, and secondly in compliance, which carries significant penalties. So, for that reason we’ve moved up the ASB for the cooperation and if you recall Mike years ago when we began this journey on mobile deposit, our efforts have been to transform this company into a cloud-based platform for recurring and predictable revenues. And secondly to move up the value chain in terms of what we can charge for what we think is the best technology of its kind in the world. And I think we are now accomplishing that and you're starting to see traction in our SaaS transactions, in our pricing policies, and how we are engaging major enterprise customers, not just here in the U.S., but globally.
Mike Grondahl: No, perfect. So, maybe just a follow-up to that. You are getting some of the pricing that you talked about a year or two ago and I guess you have said it significantly different in mobile deposit, which would, I think translate is to significantly higher?
Jeff Davison: That’s correct.
Mike Grondahl: Got it. Okay. Hey, thanks a lot.
Jeff Davison: Thanks Mike.
Operator: [Operator Instructions] We will go next to Mark Schappel with Benchmark. Please go ahead.
Mark Schappel: Hi, good job on the quarter, and thank you for taking my question. Jim starting with you, the ID business was clearly another star performer or was the star performer in the quarter, but the mobile check deposit business appears to have come in better than expected as well, I was wondering what changed during the quarter that drove the better results in that business?
Jim DeBello: Well as you know Mark from covering this industry for a while now and through our go to market relationships with channel partners, we sell to a defined group of channel partners who then sell, resell the products to a broader list of banks, and that is how we were able to scale and that is how we are able to control and dominate this space. Control may be too tough a word, but certainly dominate. So, timing is always critical with regard to how we secure these deals based on consumption, transactions in the marketplace and so it was a timing issue, but honestly, we have been very open that the growth rate for deposit is 15% to 20% and mobile deposit is as predicted, still makes up the major part of our revenue, but we anticipated that would come in at a certain rate and it did exactly as we predicted there. The bump really that we experienced and reported just a minute ago is related to our ID products.
Jeff Davison: Just to make sure we're clear on that, the mobile deposit business for the quarter was flat over last year as we expected it to be. Where performance this quarter was going on ID side.
Mark Schappel: Okay thank you and then on the revenue guide, you are raising your 2018 revenue guidance, but operating margins are unchanged, implying that you are planning to make some additional investments in the business in the next couple of quarters, what were you planning to direct those investments?
Jeff Davison: Our investments are, where they have been, which is technologies or R&A and sales and marketing that’s our focus. And like I said in the prepared comments, it’s not going to be significant the next two quarters. We’ve front-end loaded a lot of it. So, it will tick-up a little bit, but not significantly the next two quarters.
Mark Schappel: Okay, thank you. And then Jim in your prepared remarks you noted an increase in government regulation as one of the drivers to the ID business, and I think in another question you touched on GDPR are you seeing GDPR, which is going into effect here shortly actually right now, are you seeing that drive your business particularly in Europe?
Jim DeBello: Yes, we see it as a very important element. It was important in our ability to secure MoneyGram as a customer that we’ve reported earlier. So, we definitely see this as a major initiative. It’s an important piece of legislation, it comes with big compliance, penalties for companies that don't conform, and the need for identity verification I think is going to benefit from that, and so will the companies. So, you bet. I think we’re entering a new era, both on this continent and in Europe with regard to this whole idea of identity and verification and trust, and we’re going to benefit from it by being in market at the right time with the right technology. These regulations and I can add to that AML is Anti-Money Laundering, of those get tougher and tougher globally for obvious reasons, and again proving an identity over and over again when there is money transactions cross border is very, very critical. So, we see that as a driver as well. So, these, as I mentioned, alphabet soup [ph] of regulations are very important to our market and to Mitek’s long-term success.
Mark Schappel: All right thank you. That’s helpful.
Operator: We will take our next question from Ilya Grozovsky with National Securities. Please go ahead.
Ilya Grozovsky: Thanks guys. Just wanted to get the revenue mix domestic versus international.
Jim DeBello: We don’t publish that specifically, but what I would tell you is, the US piece of the majority and the International piece of between 30% and 40%, around there. And over time that would grow over the last year because we added ICAR. Their revenue is mostly outside of the U.S., so that definitely increased that number.
Ilya Grozovsky: Great, thanks. And then also you can just talk about the gross margin trend for the second half of this year.
Jim DeBello: Gross margin should remain pretty constant, you know we enjoy a very high software and hardware margin. If the mix of revenue in one of the quarters has a little more hardware, it will obviously impact that margin line a little bit, but for a blended margin we don’t really expect much change through the end of the year.
Ilya Grozovsky: Right. Thank you.
Operator: [Operator Instructions] We will take our next question from Mike Wallace with White Pine Capital. Please go ahead.
Mike Wallace: Hi Jim, hi Jeff, how are you?
Jim DeBello: Good Mike.
Mike Wallace: Great results this quarter. I was just wondering about, Jim if you could give us some characterization of comparing the pathway that IDs are now relative to the pathway that deposit was on, and kind of comparing and contrasting the two and then the second question is around the competitive environment and ID, and we are in competing with others, can you talk a little bit about how you are winning?
Jim DeBello: Yes Mike. Let me answer the first question. As you remember, with mobile deposit it was a very forward-thinking idea. We were the first to innovate in that area and we entered the market in 2008. We secured our first customer that went live in 2010 and that was JPMorgan Chase and then the other market banks followed and the rest as they say is history. We have 6,100 banks and 80 million consumers today, and no competition of any note. Now, fast forward to mobile verify, we have leveraged of our investment in our core machine learning and AI technology. We happen to read a document using a camera on a mobile device extremely well. Furthermore, we added our ability to use the device itself, the phone and have created an auto capture capability. And that has been magical to consumers who find it very easy to use and meanwhile we get great images that allow us to be even more accurate and how we extract the data for processing. So, the investments we made in mobile deposits is definitely being leveraged into our success with mobile verify. The difference is, we are actually penetrating the mobile verify and the identity verification market faster. In a quarter of the time, it took us with mobile deposit. We have a blue-chip enterprise base of customers that are growing in transaction value through our cloud today. In a matter of two years when we began launching mobile verify. And it took us much, much longer to do that with mobile deposits. I credit that to our learnings not only in our technology, but also our selling technique. We haven’t barked upon selling directly. We do control the conversation. We control the pricing. And we control the targets and that’s not always the case when you initiate with the channel partner who have their own business model. So, we think we’ve gotten smarter. We’ve learned a lot and I think consumers their habits have changed to use their mobile device in a very unique way. Before the camera was simply for photos and selfies, today it is to capture documents and information. So, all those things are in our – to our benefit. Competitively Mike, to answer your question, your second question, we think we stand apart from our competition. The bulk of our competitors. In fact, all of them to my knowledge are small companies. There are no public companies to my knowledge and some of them are financially challenged. They don’t have the balance sheet that we have. So, when we appear in front of a major bank as an example in front of a major shared economy player as an example, in front of a major payments processor globally as an example. We present ourselves as a publicly listed and very solid balance sheet, very experience with mobile deposit success and the consumer experience. We bring these credentials to these enterprise customers and I think we stand apart. Secondly, when we present ourselves since this is a market that is all about privacy, security, and identity we have the credentials and certifications that are required as a public company and through the audits that have been conducted on premise by our major bank customers as a matter of their record and we have that under our belt. And our competitors are not doing that. So, we really are and we think best-of-class, certainly to sell our technology into major enterprise customers and those are the customers that are going to give us the transaction volume to grow.
Mike Wallace: Yes, deposit is very sticky once you are in, tell us about how it works in ID?
Jim DeBello: Well I think it’s sticky too. It becomes part of that process now. Again, you wouldn’t hear Mark Zuckerberg in front of Congress talking about ID proofing a year ago. You certainly heard him three days ago. So, this is where the market is growing. This is a requirement now that the old methods of authentication or as you should say verification. First time you meet a perspective customer digitally to verify them, those old methods used to be a reliant on data that was stored or your Social Security number that was secure. Today it’s breached. That information is public. It is on the dark web. You can buy it for our buck. You can't do that with your identity card with your biometric match. And that’s what we do. So, we believe that there is a significant amount of reengineering going and workflows major companies across this continent in Europe and the world as they reengineer their processes to engage new customers. Now, they’ve got to do it in a frictionless way that doesn’t scare of their customers and not too many keystrokes, not too many other items of friction, and so by taking a single snap of an ID, we can capture information. We can provide that information to the system and we can verify the identity of the individual. These are things that couldn't be done with the data bureau. That’s why Experian has partnered with us. So, we believe it is very sticky and very critical to the ecosystem.
Mike Wallace: Last question, deposit you used or you used a lot of resellers in that channel, you are doing direct or ID, can you give us, maybe this question is for Jeff too, how does the business model margin structure play out as we now go and really grow ID without using the channel partners by going direct? In terms of margin structure?
Jeff Davison: So, with the channel partners for selling there is really no difference. So, we're not giving up like 30 percentage points or anything like that with the channel partners. It’s same price going through.
Mike Wallace: Could we get the margin less by going direct?
Jeff Davison: You know right now I don't think that we’ve seen that really start to happen. Most of this, you know with channel partners they’re adding our technology into the offerings, and so it’s making them have an offering they didn’t have before and makes them more competitive. So, I think they’re able to get business they couldn't get without us being part of a solution.
Mike Wallace: Yes, I guess I’m think of it Jeff, maybe down the road or maybe 24, 12 to 24 months as you leverage the salesforce and bring more revenue dollars across each salesperson in collecting and being able to leverage that through the model, what are your thoughts on how that develops in terms of your operating margins?
Jeff Davison: You know, if you look out two years from now and if the channel is a much bigger piece of what we're doing, I suppose there could be that chance that we're giving up a little bit of margin to be filling through the channel, but right now it’s not the case and I think as long as we’re leading the technology that they don't have, I think we’ve got a pretty good foot stand on to not lose much there in the selling process.
Mike Wallace: Okay. Thank you.
Jim DeBello : Good talking to you Mike. Thank you.
Operator: And at this time, there are no further questions. I will now turn the conference back over to the company for any closing comments.
Jim DeBello: Thank you, operator, and thank you everyone for joining us today. Mitek’s management will be presenting at the upcoming Needham Emerging Technology Conference in New York on May 15. If you happen to be attending, please stop by and say hi. We hope to see you there. This concludes our call and have a great day.
Operator: Once again, this will conclude today's conference call. We thank you for your participation and you may disconnect at this time.